Operator: Hello, everyone and welcome to the Canadian Apartment Properties First Quarter 2022 Results Conference Call. My name is Juan, and I will be coordinating your call today. All participants have been placed on mute to prevent any background noise. There will be a question-and-answer session at the end of the presentation.  I would now like to turn the call over to your host, David Miller. Please, David go ahead when you're ready.
David Mills: Thank you, Juan and welcome everyone. Before we begin, let me remind everyone that the following discussion may include comments that constitute forward-looking statements about expected future results and the financial and operating results of CAPREIT. Our actual results may differ materially from these forward-looking statements as such statements are subject to certain risks and uncertainties. Discussions concerning these risk factors, the forward-looking statements and the factors and assumptions on which they are based can be found in our regulatory filings, including our Annual Information Form and MD&A, which can be obtained at sedar.com. I'll now turn things over to Mark Kenney, President and Chief Executive Officer.
Mark Kenney: Thanks, David. Good morning, everyone and thank you for joining us. Stephen Co, our Interim Chief Financial Officer, is also with me this morning.  So turning to Slide 4, we booked another solid year in 2021. Despite operating for a full year under the challenges presented by the pandemic, all of our key benchmarks were up, including revenues, NOI and then NFFO and we continue to generate solid and accretive growth for our unit holders. It's also important to note that we continue to experience very few rent collection issues. Today, we've collected over 99% of our rents as we continue to get close to our residents and understand their issues. Turning to Slide 5, while we were pleased with our results in the first quarter, we experienced certain increased costs compared to last year that led to a smaller increase to our quarterly NFFO. The key challenges were acceleration of largely weather-related and COVID catch-up maintenance cost. Remember, that in last year's first quarter, we're in total lockdown in Ontario and Quebec, as well as increased gas cost and consumption due to the colder weather this year and higher realty taxes.  NFFO per unit was impacted by the 1.7% increase in the number of units outstanding in the quarter. Having said this, revenues were up over 8% driven by the contribution from our acquisitions, increased monthly rents and continuing high occupancies, resulting in a 4.4% increase in our NOI. However, like all issuers today, we believe inflationary cost pressures will impact our results over the short-term.  From an operating perspective, our ability to generate solid performance in both good times and bad, is clearly demonstrated by the results of our stabilized portfolio, as you can see on Slide 6. Occupancies improved again in the first quarter while net average monthly rents continue to increase. As mentioned, our same-property NOI was impacted by the increased costs we experienced in the first quarter, higher maintenance cost, the increase in natural gas cost and consumption and slightly higher realty taxes. We believe such inflationary cost pressures will impact our NOI over the next few quarters.  Our leasing and marketing programs continue to generate increasing occupancies as you can see on Slide 7. After two years operating under significant pandemic restrictions, our occupancies remain highly stable at 98% at quarter-end. You can also see our bad debt as a percentage of total revenues have remained low throughout the pandemic and continue to track historic low levels. Tenant incentives also continues to decline to pre-pandemic levels and we expect the majority of the amortization of our lease incentives to be completed by the end of 2022. A key factor in our ability to generate solid results is the solid increase in rents on turnover, we are achieving as shown on Slide 8. While turnovers have been impacted by the pandemic, we are now starting to see solid increases as we move rents closer to market, at more than 10% increase on turnover in the Canadian portfolio, we believe is a solid result and we expect to see this to continue and grow in the balance of the year. Our churn rates are also strengthening and tracking historical trends of seasonal variations. Renewals also started to improve in the first quarter. We noted last year. We increased rents on January 1, by the mandated amount of 1.2% in Ontario and 1.5% in BC as of quarter end. Ontario and BC represent over 57% of our total NOI.  As mentioned, we experienced a solid and positive trend in rent increase on turnover each quarter since we bottomed out at the height of the pandemic in Q1 of last year as shown on Slide 9. Looking ahead, we are experiencing more in person and online visits. We expect we will start to see more and higher mark-to-market rent increases in the quarters ahead, moving us toward the higher levels of increase we generated prior to when the pandemic set in. Turning to Slide 10. We continue to increase the size and scale of our property portfolio. Through 2021, we acquired 3,744 suites and sites, the majority in our key GTA, BC markets and another 1,015 suites and sites have been acquired to date in 2022. Our acquisition pipeline remain strong and robust, and despite cap rate compression, we expect to generate further accretive portfolio growth in the quarters ahead. I'll now turn things over to Steven for his financial review.
Stephen Co: Thanks, Mark and good morning. As you can see on Slide 12, our balance sheet and financial position continue to remain strong and flexible at quarter end, with a conservative debt to gross value and continuing high liquidity. Our $1.3 billion in Canadian unencumbered properties, which includes $652 million of MHC properties provides additional liquidity should it be needed.  Looking at our financings in the first quarter, we locked-in interest rates of approximately 2.8% on our refinancings and extended our term to maturity. We expect to finance a total of approximately $1 billion in mortgages and top-ups in 2022. Importantly over 99% of our mortgage portfolio incurs a fixed interest rate protecting us from potential future interest rate increases. In total, if we were to access all our available sources of capital, we would have liquidity of approximately $1 billion at quarter end. As you can see on Slide 13, we continue to reduce our interest costs in Canada and extending the term to maturity. In fact, we have one of the longest terms to maturity and the lowest weighted average interest rate among our publicly traded peers. This provides us with strong protection against renewal risks given where interest rates are as of today. The ability to capture strong spreads and low interest cost in the Netherlands is also contributing to our lower overall interest costs and extending the term.  As mentioned, over 99% of our mortgage portfolio incurs a low fixed interest rate, protecting us from expected future rate increases. We continue to monitor the interest rate environment for any opportunities to prepaying maturing mortgages and to hedge against rising interest rates. As of today, we have locked approximately 70% of our 2022 maturing mortgages at a 3.1% interest rate.  Further to our strong and flexible financial position, looking back over the last few years, you can see on Slide 14 that we have met our goal of maintaining a very conservative debt and coverage ratios, even throughout the pandemic. This conservative approach underpins the stability and resiliency of our business and sustainability of our monthly cash distributions to unit holders. This focus on maintaining one of the strongest balance sheets in our business will continue going forward. Our mortgage portfolio remains well balanced as shown on Slide 15. As you can see, in any given year, no more than 12% of our total mortgages come due, thereby reducing risk in the rising interest rate environment. Looking ahead, our current ability to top up renewing mortgages through to 2036 will provide further significant liquidity in the event that pandemic last longer than we hope.  As we expect the interest rate will continue to rise further after the Bank of Canada announces first policy rate increase in early March of 2022 and subsequent aggressive monetary policy tightening to fight back higher than expected inflation, we moved up our refinancing opportunities for our 2022 matured mortgages from the second half of the year to Q1 of 2022 by paying some hedge costs and prepayment penalties.  We were able to achieve financing cost savings through closing or pre-locking rates for the five-year and 10-year mortgages. Their rates were 2.8% and 3.1% respectively, lower than the current five-year and 10-year estimated rates of approximately 3.6% and 4%. I'll turn things back to Mark to wrap up.
Mark Kenney: Thanks, Stephen. Looking ahead, we see a number of very positive value drivers that we are confident will generate strong and growing returns for our unit holders, over both the short and long term.  We will continue to focus on our proven asset allocation strategy as detailed on Slide 17. We primarily target value add apartment properties in the mid-tier segment and well located suburban markets in and around Canada's three largest cities, Toronto, Vancouver and Montreal. We are acquiring these properties at well under 50% of replacement cost and have proven our ability to invest in them to increase value. Cash flows remained strong and highly stable due to their very affordable rental rates. Our second focus is the MHC sector. Revenues are highly stable with residents owning their own homes, capital requirements and maintenance needs are significantly reduced. With home ownership costs rising across the country, MHCs provide a real alternative for families looking for quality residences at significantly lower cost. Our third focus is on Europe. As one of the only professionally managed operating platforms in Europe, the opportunities for enhanced value are significant.  Key to our growth in the upcoming months will be our ability to capitalize on a number of market trends as we return to pre-pandemic conditions. Demand for our quality properties will grow as emigration accelerates with new Canadian seeking affordable homes in our largest urban markets. The return of international students will also contribute to increased demand. The pandemic generated what we call, household consolidation as students and young people returned to their homes to save cost and safety. We see these young people moving back to the rental accommodations as soon as offices reopen and in-class learning fully returns.  Demographics are also on our side as the growing seniors population looks to the rental market to meet their needs. We believe our quality and well-located properties offering more space on one floor at affordable rates will see increased demand by seniors looking to capitalize on the significant equity they've built in their homes. We also see families looking to quality rental accommodation as highly affordable alternative to the increasing costs of home ownership. Additionally, cash flows will increase as we prudently and responsibly increase rents.  Finally, our ongoing property investments as outlined on Slide 19 are, reducing costs through energy savings and other initiatives, enhancing resident safety and making our properties more attractive, our technology solutions are increasing our operating efficiency, and we're helping us to meet our ESG commitment to enhance environmental performance.  All of these investments are generating strong increases in our net asset value. As Stephen, mentioned we recorded an over $1 billion gain in our net asset value in 2021 with another $20 million in the first quarter. With increasing demand and little new supply rental properties, we believe the value of our asset base will only growth going forward and provide another strong driver for unit holder value over the long term.  In summary, we remain very excited about our future. Our focus on the mid-tier sector, recent increased demand for affordable high quality homes are predominantly suburban locations outside downtown course and our larger sized suites are meeting the need for more space. We are experiencing a strong pipeline of accretive acquisition opportunities and expect to see solid portfolio growth in the quarters ahead. Our industry-leading balance sheet, leverage, and liquidity position provide stability and the ability to grow going forward.  And with demographic trends and increasing emigration, we are confident we will continue to drive value for our unit holders in the years ahead. Looking ahead, we are confident we will gradually be returning to more normal market conditions and continue our 25-year track record of growth, strong operating performance, and delivering enhanced value to our unitholders.  Thank you for your time this morning and we would now be pleased to take any questions you may have.
Operator:  And the first question comes from the line of Jonathan Kelcher from TD Securities. Please, Jonathan, your line is now open.
Jonathan Kelcher: Thanks. Good morning.
Mark Kenney: Good morning.
Jonathan Kelcher: First question, just on the operating costs, I guess, it's COVID-related, they were higher for Q4 and Q1. What was the remainder of 2021 like?
Mark Kenney: I think we're…
Jonathan Kelcher: Was it more normal?
Mark Kenney: Yeah. We're definitely seeing a return to normal. I think I had even indicated on our call last time, sadly, we ended up with a different type of repair problem in Q1 than we had in Q4. The majority of our costs in Q1 were weather-related and we had a very, very cold winter season across the country and the catch-up in terms of maintenance, we couldn't effect during the pandemic is, in our minds, essentially caught up.
Jonathan Kelcher: Okay. So for the balance of the year, if we think of inflation type increases for operating costs, that sounds about right?
Stephen Co: Yeah. I mean, Jonathan, I think, we should expect some inflationary pressures. We're starting to see that now. So, we will see some cost pressures from that perspective, but overall, I would say, if you were using margins from last year to project out this year, I would say, that would be a safe assumption for Q3, Q4, but I would put a little bit more pressure on Q2 because that's when we're starting to see it.
Mark Kenney: The reality is -- it's happening quite quickly. In Q4, we still, we're not seeing the effects of inflation to a great extent. We're now starting to see -- it show up with wage pressures with employees most certainly, and you can see with the utilities. Fortunately, we were hedged out. But, things like the transportation costs and other elements of utility costs or prices have gone up.
Jonathan Kelcher: Okay. And then secondly, just based on where your share prices right now. What's the board's thinking in terms of share buybacks at these levels?
Mark Kenney: Yeah. We had announced the activation of our NCIB. We were in blackout there and unable to start using the NCIB, but we are committed to taking advantage of this incredible value. We said it before, what completely disconnected is the value of properties that are trading in the market and the value of REIT stocks, I’ll say everywhere, especially apartment REIT stocks. It's really a global phenomenon. And there is no question, we see incredible value in our portfolio.  So, it will be a balancing act here as we go forward in terms of how much stock we want to buy back and the potential disposition of assets that are premium priced. You've already seen us do a few buildings. I think, I talked about the three one cap deals that we transacted on. And we got right to more opportunities like that. I can't help but see incredible value in selling mid-one caps and buying cap rated plus 4.
Jonathan Kelcher: Okay. That is helpful. Thanks a lot. I'll turn it back.
Mark Kenney: Thanks, John.
Operator: Thank you. Our next question comes from the line of Jimmy Shan from RBC Capital Markets. Please, Jimmy, your line is now open.
Jimmy Shan: Thanks. Hey, Mark, just to follow up on that NCIB question. I'm just curious what -- it wasn't in your focus priorities in the deck. I'm just kind of curious what are the priorities are you balancing that with -- given that as you say, there is a big public private market disconnect and just kind of curious why you wouldn't be or at least the Board would be more aggressive on the NCIB front at this stage?
Mark Kenney: Yeah. Appreciate it. Again, we're in blackout, so we are committed. The attention is though, that I've been cautious on -- in the deck, although, I'm seeing it now is around disposition opportunities and I will continue to look at this problem in a very linear way. The acquisition market is still open for us, where we have the opportunity to buy newer construction assets with in place financing with favorable where we can find yield spread, okay.  So, we're not going to be quiet and silent on acquisitions because there still accretive opportunities where you could assume low interest rate financing that will be open to the being part of the supply equation in Canada is very much near and dear to our hearts. We're going to continue on that path and looking at assets that we're very proud of the reinvestment programs that we've changed communities. We've done the good work, where we can realize good value for unit holders will be open to disposing up. Now, I wouldn't look at this is a wholesale change of CAPREIT, it will be opportunistic. There is an extent (ph) is limitations on what we can do in the NCIB anyway, but if I can match equity gains in selling selective non-strategic assets of premium pricing and reinvested in CAPREIT stock. I think that investors will applaud that, I’m a unit holder and I’m very much excited to get on this.
Jimmy Shan: Okay. And then just on the turnover spread where would that sit today. Is it still in that 10 percentage range?
Mark Kenney: Yeah. It's -- but you follow the curve, it’s pretty fair to use your rulers. The only thing that's been trying to lagging behind, yes, I'd like to -- curve will straight out. Like, at the end of the day pre-pandemic, I think we're around 15% mark-to0market rents today. We're definitely in the double-digits. The reality is that traffic is great. We're being typical CAPREIT fashion cautious on maximizing revenue, but the return is there.  I would say that the final step of the pandemic appears to be full return to office. And that's not taken holds completely in the country, but as that ramps up, you can just expect to see that directly corelated. The CAPREIT vacancy pressure, revenue pressure really at the end of the day came exclusively from the under 30 cohorts, buildings that had under 30 cohort or domestic (ph) students or young professionals that those are the people that went home and for safety be with mom and dad and make some money. Look at Canadian savings rates, the highest I think they've ever been in our history. So we expect that people return and start coming back to the cities, in full force due to mandated backed work you're going to see big changes there. But it's on a very predictable path.
Jimmy Shan: Okay. Thank you.
Mark Kenney: Thank you. 
Operator: Thank you. Our next question comes from the line of Mario Saric from Scotia Bank. Please, Mario, your line is now open.
Mario Saric: All right. Thank you for taking the questions and good morning. 
Mark Kenney: Good morning. 
Mario Saric: Mark just on the back of your sub 30 cohort, do you have any sense of what percentage of the portfolio would be represented by that cohort today?
Mark Kenney: Well, we're at 99% occupancy essentially, it's more driving the demand at this point and people that are missing from the market. And I would say, when you look at CAPREIT, we were probably one of the less impacted apartment REIT's because we had suburban locations. So I think it's just the final demand driver to come back that will really give the same oxygen to the market that we saw pre-pandemic.
Mario Saric: Got it. So essentially at this point, the lost demand from that cohort is taking the occupancy from 98% to 99% (ph) or something like that? 
Mark Kenney: That's right. Our pure recovery very much driven by exactly same . To what it’s worth, I do believe that the dynamic in Canada was very different than the U.S. Canadian under 30s tend to live within an hour of mom and dad, just a cultural thing, whether it'd be Toronto, Vancouver, Montreal, whereas in the U.S., you will see the under 30's will live by states away and again, that tends to be more cultural. So we were definitely in Canada culturally in my view culturally more impacted by the under 30 is going home than other places.
Mario Saric: Okay. I mean just coming back to Jimmy’s question on the UV's spread. It was 10.2%, so it sounds like it's improving, so essentially you think internally  from 10.2% in April, May, so far it might be like 11% and then kind of when return to work, kind of really comes back and goes from like 11%,12% to 15%, is that how we should  driven?
Mark Kenney: It's very steady path, but remember we're very cautious to CAPREIT, so we're renting apartments 60 days in advance. And in the case of Quebec, almost six months in advance. So our pricing is following the reality of what's probably happening in the market. If we were holding our units vacant took a last minute, we could be probably achieving potentially higher rents, but we're renting in advance and we are managing, as we always have that occupancy line at 99%. I've been very, very in patient with getting rid of these incentives. It's not in our culture to offer incentives. So, we've got great progress on incentives, got great progress on occupancy and we're renting into the future here. So our pricing, I can assure you for the next 60 days and forward is not at these current rates that we're seeing mark-to-market.
Mario Saric: Okay. And then just on those incentives the amortization in Q2 was $1.6 million. How should we think about the pace of decline in that $1.6 amortization through Q3 and Q4 this year.
Mark Kenney: Yeah. I would say even bring that down to, it's going to basically wind down, but end up Q3 of this year. So I would just say you can model that and there will be some lingering incentives, just the way that the business runs, but overall it's going to be wind down close to zero. Quebec the historical numbers for CAPREIT essentially that’s what Stephen . 
Mario Saric: Okay. And then just in terms of the  turn back go ahead. 
Mark Kenney:  
Mario Saric: In terms of the 2023 level rent increase on renewal that typically it comes out and kind of June, July, is that your expectation today or is kind of your expectation depending upon the election outcome.
Mark Kenney: No. The guideline increase will happen regardless in the election income. So that we follow back with inflationary items and -- but we would not expect to see inflationary increases, but CAPREIT now in Ontario just over – I think it’s 2%. So it's not that the increases to residents are completely impacted by any sort of election talk.
Mario Saric: Right. But I guess, in terms of the timing in June, July, do you think that's a reasonable timeframe from the announcement?
Mark Kenney: Yeah. That's the date they're supposed to do. We don't typically hear that until end of summer.
Mario Saric: Okay. Just my last question maybe going back to the capital allocation, you're saying that there is still some accretive acquisitions available and it sounds like it's mostly on assets that already have in place financing, it wasn't too long ago that the private market was probably paying lower CAPREIT for unencumbered assets on multifamily side and perhaps that's its changing, given the 3.6% to 4% market cost today, is that what you're seeing in the market in terms of maybe pricing being more aggressive with asset that have been in-place financing and then kind of secondly, like, where can you get for the type of product that you are working CAPREIT that are north of 4%, if you can?
Mark Kenney: It's a great observation on financing. I would say, we're amongst a very few that look at the yield spread, the way that we do. So there is no question that we have valued in place financing. I hope in the next quarter, I'll do a more fulsome rollout of the new construction assets that we've actually been buying. There's been quite, if you look back now, the last three years is a predominance of new construction assets and part of those new construction opportunities would be in place financing. So we have tended to value that.  I will tell you though, that again the market is really turning out to be something very different. So 95% of apartment owners in this country are private and the predominant talk months brokerage is inflation and replacement cost. So what you're really seeing in the marketplace are extremely low CAPREIT, you're going to see some recorded too in the marketplace and that are financing is now for 10 year money 4%. So yield spread is in our lens of value, but it's not in the lens of value of the dominant private market and it's the resiliency of the income, it's the lack of obsolescence for housing. It's the impossibility to build with inflationary pressures.  The one thing, I'd probably again sort of spoken more about was the -- these new construction assets, we believe now could be 20% below replacement cost. So you were taking possession of vacant buildings that are in lease-up that are probably 20% below replacement costs or more that's never happened in my history, in my experience in this business. So that is also pushing to the replacement cost proposition of the value add buildings. We say 50, you can do your own checking. It's probably high 30's at this point because of what's happening with inflation. 
Mario Saric: With all that said, you touched on it a little bit earlier, but the discount to NAV, the trading discount to NAV, which is highly unusual, the magnitude of it today for CAP. But does that change, how you think about the acquisition pipeline going forward and does it shift you to perhaps becoming a net seller or kind of net neutral in terms of the acquisitions that you're looking at are really being funded by asset sales as opposed to being kind of big net buyer like you were last year, how does that capital those change based on the cost of capital?
Mark Kenney: I think we've definite -- we are in very moving times here, but when property valuations continue to surge, we will have our eyes on the disposition program. And with the idea of matching proceeds with buying back stock. I'm not that comfortable levering up the company to buy back stock in a big way because things are definitely moving around. But I'm extremely comfortable of the natural hedge of selling buildings at low cap rates and buying back the equivalent amount in stock, but there is some tax implications to all this and we're going to have to figure all this out. But the good business of matching high value, with high discount is I think a sensible approach. So that's number one.  That being said, we do see opportunities in these high-quality new construction assets that will never be built at these prices per foot again, given inflation, I don't see us retreating backwards with the cost of labor, with the cost of construction with the length of time to build, with the cost of financing. So, I’m keeping a very keen eye on new construction opportunity, where CAPREIT can be part of the supply solution for Canada. If we can be part of that solution and find good value for unit holders, we will be doing the good work that we've been doing for 25 years. I'm going off a little bit of a tangent here now, but history of our company, we've been reinvesting in our assets and turning communities around. We've been very, very proud of that. Now it's time to look at those maximized opportunities and potentially take them to market, but not in a wholesale directional way, you'll see us doing it opportunistically.
Mario Saric: Got it. Maybe too early to providing quantum in terms of an asset disposition range to think about?
Mark Kenney: Yes, it's a little bit early, but I want to, I'm really excited about continuing our one mid-point, one cap rate disposition program. I'd be happy to do that. We're going to be opportunistic with that.
Mario Saric: Doesn't seem to be a bad trade it’s like 1.5, when financing costs sort of forward, so.
Mark Kenney: I think it went a little bit unnoticed like we've done three of them now. And I keep speaking wildly about it and I think there's just such skepticism of what kind of market are we actually in right now. It's hard to see that trade as being sustainable, and I get it, but CAPREIT we're going to prove that out and if the current environment is such that value cap rate for unit holders is this path versus just income then as a unit holder, I'm very happy to see that happening.
Mario Saric: That makes sense. Thanks guys.
Mark Kenney: Thanks Mario.
Operator: Thank you. Our next question comes from the line of Jenny Ma from BMO Capital Markets. Please, Jenny, your line is open.
Jenny Ma: Thank you. Good morning.
Mark Kenney: Good morning.
Jenny Ma: I wanted to drill into the other operating costs, a bit more. So Mark based on your comments, it sounds like the R&M catch-up is essentially done as of the end of Q1. Did I get that correctly?
Mark Kenney: You did get that correctly.
Jenny Ma: Okay. So some of the weather related maintenance costs, do you expect any of that to show up in Q2 or is that -- are those costs sort of deep cold induced and very much limited to Q1 or do you expect to see some more of that in the early much of Q2 just given been accrued the (ph) spring? 
Mark Kenney: No, it's gone. Look it’s pretty good hit there today.
Jenny Ma: Okay, So when we have -- thankfully. When we think about same property NOI than over the next few quarters. The inflation, I'm not sure how much of it is fully baked into Q1, but it sounds like that's accelerating into Q2. The other costs sound like they're going down and then you've got rent acceleration. So when you put that altogether, are you expecting same property NOI to flip positive starting in Q2 and beyond?
Mark Kenney: I'd like your beyond part, like, it's definitely moving through Q2 in the right direction and by Q3, I can’t make forward looking statements, not posted, but it's, like I said use your ruler and you start to figure it out, but you've got it exactly correct. The confusion is, sadly, we had this related repair expense in Q1 that I think I did, we did our Q4 conference call, I think we are in the middle of it, but if we look at what's going on, what Stephen has been saying is, there is some inflation in both the repairs of maintenance and our wages costs and these transportation costs for utilities. So of course, we're going to see some increased utility costs because we can't change the cost of transportation and we can’t change some of the other factors that are involved in utility price acceleration. It's not just the cost of the commodity that part we've got greatly hedged out. So, yes, there is a bit of effect in that, but the real question is, where did the rents end up traveling due to offset those inflationary pressures. And I'm highly confident on the revenue story and we're adjusting to this cost story.
Jenny Ma: Okay. That’s very helpful.
Mark Kenney: Did I answer your question, Jenny. Did I mash it all up?
Jenny Ma: I guess that's our job to figure it out. But, no, that's helpful. Just turning to the IFRS cap rate. We saw, and this is timing of course, so we saw a bit of a tick up for Alberta and then Ontario and BC, is that really just the math of the asset mix with some of the acquisitions, or is there something else going on there?
Stephen Co: We took a very cautious approach in terms of our fair values. What we've seen is, we've seen stabilized NOI growth. But what we did is, we basically kept the fair value the same and adjusted our cap rate slightly. We just see that with the rising interest rates, we would just want to be very cautious and how we approach fair values this quarter. But if the markets continue to perform well and there's good trades out there, we will make those adjustments in Q2.
Mark Kenney: Even where, to build on Steven's caution, when you see 10 year money at 4%, you would expect to see cap rates go up. We are seeing evidence of the market have been going now, but it's not widespread. It's nothing like so many comps in each market that we can have total confidence. But this is why I go back to this opportunistic selling thing. If we can find that arbitrage we will do it. But we're very big long history being very cautious on a lot of different things, but when it comes to now calculation, I echo what Steven said they're completely. We had lots of spirit in discussions about this.
Jenny Ma: Okay. So when you're saying that, it's a bit of caution going to the cap rate, is that a reflection of the interest rate move through to March 31 or what is the  interest rate move to today.
Mark Kenney: Yes. And despite the fact that we saw at some trade although not a lot with lowering cap rates. It's just very hard to do our whole portfolio with conviction, with this interest rate thing moving in the background, but the struggle and it was a real struggle was we did see evidence of declining cap rates.
Jenny Ma: Trying to be clear, the IFRS is that through to March 31 on interest rates or your view, is that due to early May?
Mark Kenney: No, that's through to March 31.
Jenny Ma: March 31, I guess I'm getting at end, is that based on the move that we've seen so far, assuming it hasn't changed to June 30 I suppose then all else being equal then the pressure there would still continue to be upward. 
Mark Kenney: We don't know like really again if you talk to brokerage and you talk to what's happening in the market. We're not, it's not happening. The reasons that are new and I think it has a lot to do with the private market seeing, why wouldn't you buy apartments in an inflationary environment, replacement cost is permitting and look at the market fundamentals, they take long view and so that's very different than the income buyers that are buying yield spreads and REIT’s are geared to that communication, but it's really back to what I said Jenny, the apartment REIT sector is a tiny part of the sector. It's dominated by the privates. Its unlike any other real estate sector in Canada office, industrial, retail, hospitality these are dominated by big players. In the apartment space, it's dominated by private players.  So, how they behave is differently than how we think and what we're seeing the evidence of, is high valuation in these uncertain times that are not based on income. Again I’m going on here a little bit, but the one of the most peculiar things that I saw was during the pandemic, high vacancy buildings, we are most valuable because the private market wanted to sit on those vacancies until the market return. So that's a highly -- that was highly unusual event number one, and we're seeing more unusual behavior -- unusual different behavior in the private market they just want to walk in assets that are so incredibly cheap on a price per door.
Stephen Co: Yeah, Jenny. Just to make sure you're fully aware like these values are value added as of March 31 based on the information that we have. So we don't adjust possible increases and financing costs up until May. We go up to March 31, if there is a change of cap rates, but now to Mark's point, what we've seen in the market is slightly different. We just taken a very cautious approach. So if we continue to see trade at below what our implied cap rates are. We will adjust that in Q2. But right now, I think we just want to be very cautious just because the pronounced increase in interest rates over a very short period of time.
Jenny Ma: Okay. Great. That's helpful. And then my last question is, for Q1 in your G&A, were there any non-recurring items, specifically related to the CFO (ph) transition that we don't expect to see in Q2.
Stephen Co: I mean, I think there was the -- I think we put in the note. I mean there was a little, like, a bit of -- I think it was $12.8 million and there is acceleration of  that were baked into the G&A. So, you have to adjust for that to normalize it, but I would say, using the G&A of Q1 is a pretty good proxy as a run rate going forward.
Jenny Ma: Great, Thank you very much. I'll turn it back.
Stephen Co: Okay. Thanks. 
Operator: Thank you. Our next question comes from the line of Matt Kornack from National Bank Financial. Please, Matt, your line is now open.
Matt Kornack: Hey, guys. Just wanted to quickly go back on the margin side up until the pandemic margins had been improving from an NOI standpoint as a result of rent growth out stripping expenses. We've been kind of stable through the pandemic. When you underwrite assets going forward and all the secondary question because you've been buying new so presumably margins are higher there. But, I'm not sure if that was by design from an inflation standpoint, but yeah, generally are you underwriting sort of stable margins or continual expansion as a result of rent growth outstripping expense growth.
Mark Kenney: Again, we think it really conservative approach stable. We, it's really difficult to predict growth in general right now. Despite all the fundamentals, again we're being extremely cautious on the acquisition front. I remain fully committed to being part of the new rental supply story in Canada and where there's good opportunities for investors. I'm really looking to the, again, the value matched with income stability. So we're not going to get aggressive on growth expectations in pro formas, I'd like us to be able to do these be part again of the new supply story in Canada going forward, but some right Matt, we are taking a very cautious approach on acquisitions as well.
Matt Kornack: Fair enough. And then, but generally speaking, I guess for these newer properties you're R&M is lower because they're new right. So I guess I think… 
Mark Kenney: That's right.
Matt Kornack: There is a little bit more inflation protected.
Mark Kenney: Yeah. We'll have our mind, like, again I love the MHC sector for that reason and I love the new construction market. Another reason is cost mitigation. When you're dealing with high margin assets where there's more pass through to the residents, then we have less exposure there. And I think in an inflationary environment, you have to do real a bit that.
Matt Kornack: Fair enough. And then on being part of the supply side of things. In terms of where you're deploying that capital in the assets that you're buying, is it mostly suburban, would you become part of the new sort of high-rise downtown supply or the yield just too tight on that type of product.
Mark Kenney: For now, we continue to get and ready our lands for new construction, the opportunities though appear to be in merchant builders that are looking for capital partners in form of forward sales for purchases. So we are again cautious about performance in this inflationary environment, but we will continue to push forward hard on the zoning of our lands with the optionality to build, but the acquisitions will in all likelihood come from merchant builders.
Matt Kornack: Okay. And are there preferred partnerships on that front or is it just, you underwrite the quality of the building that's been produced and buy accordingly?
Stephen Co: It’s build-out.
Matt Kornack: Okay. Fair enough. Thanks, guys.
Mark Kenney: Thanks, Matt.
Operator: Thank you. Our next question comes from the line of Brad Sturges from Raymond James. Please, Brad, your line is now open.
Brad Sturges: Hi, there. Just one quick question for me. Since the federal budget came out, obviously there is a federal review ongoing at the federal level here. Just wondered, if you could characterize how your discussions have gone to-date and some initial thoughts or takeaways of where that might -- where those discussions might go for the review?
Mark Kenney: I think it's an education process. The -- I go right back to what we said earlier about all the apartment REITs in Canada are a very small percentage of the total stock. The notion that apartment REITs are hurting affordability is, we have strong disagreement with that. And how do you explain rents going up in markets, that REITs don't even exist in, apartment REIT's exist and you see lots of examples of this going on. So that is part of the education.  The misunderstanding around renovation, this is something CAPREIT has never done in our 25-year history. These again are private landlord behaviors.  rent increases, okay. We are bound to guideline increases. We're in the private market. You will see 30%, 40% rent increases hitting the media and who you blame, the big guys. That is where we can actually do that.  People being kicked out of their homes, because their homes are being sold or family members of ownership want to move in. These are not behaviors that the apartment REITs participate in. So I think that there is a real opportunity to educate. I think that the supply narrative needs to be understood. And I think the fact that there is REIT -- apartment REITs around the world that are embraced by governments, we are hopeful that this message will be properly received in Canada.  So I think government understands that simply cannot build all the rental supply for this country and private partnership is important and private partnership with experience and responsibility is important, so I won't even get in queue, while I guess I'm, ES&G, corporate governance, all the good behaviors that we all follow is responsible housing providers, reside in the public sector and there are no balance to behavior in the private sector other than provincial legislation. So I think there is a definitely the education that needs to happen, we're very optimistic with the fact our story is being heard and will carry forward.
Brad Sturges: That's great. Thanks a lot. 
Operator: Thank you. Our next question comes from Dean Wilkinson from CIBC. Please, Dean, your line is now open. 
Dean Wilkinson: Thanks. Good morning, guys. 
Mark Kenney: Good morning. 
Dean Wilkinson: Mark, I totally agree with you on the miss-characterization of reach jacking up rents and the rest of that. But the question then becomes, given the economics of new construction, development fees, all of the rest of that stuff. Can you even get to a point where you build affordable housing or like you can't replicate $1,200 a month rents by putting a shovel in the ground right?
Mark Kenney: Dean, first of all, and everybody on the call, I look forward to reading in  all of the things that I've said have been how responsible apartment REITs are, so thank you for highlighting that in your report. I'm kidding. Obviously, but I'm not. I would say, we all -- the apartment REITs have the advantage of free land, not free land, but land is already baked into our IFRS valuations, okay. So, that opportunity to do something is there. What you're really doing is highlighting the affordability of our portfolio like, when you talk about the challenges in supply, what you're really seeing is, you guys are the affordable sector.  What would Canada do with a responsible ownership in the affordable sector, so we agree with you, a 100% like these are going to be challenges, but really it won’t be our CAPREITs problem with growth. It's going to be Canada’s problem with growth. How are we going to get through affordable housing, if the entire country is under huge pressures with development charges, land cost, the cost of labor, supply chain issues. These are big issues for Canada. CAPREIT is going to be part of that definitely as well, but if anybody has the advantage than us (ph).  And if anybody can do something to be part of the affordable solution, it's CAPREIT. The  worked up here a little bit like we are the largest private partner of rent supplement units in this country, okay? In terms of responsible ownership, CAPREIT is the company that stood forward in the biggest way with the government to be partnered on rent supplement. That is probably the most efficient way to provide affordable housing in this country. So we welcome government engaging with us to be part of the solution. We've been doing  
Dean Wilkinson: Now -- we heard you often, right? On another sort of tangential question to that then, when I look at the amount of rent increases that you struck on the renewals, I guess for anyone who didn't turn you had an eligibility to increase those rents on January 1. It looks like you did in the marketing entire portfolio. Was that just you were waiting for rollover on some or did you hold some back to do later in the year just like is it just part of your good governance or is there something else going on in there?
Stephen Co: So Dean, we actually did rolled out for our portfolio. So, Ontario and BC, so they are all affected, I mean, I think when we say 44% that includes all of our apartments. So…
Mark Kenney: Yeah. I think there are other provinces we didn't have more room (ph) and so those provinces we were able to continue the normal course of issuing rent increases. But the moratorium built up the ability for us to serve both provinces in fall.
Dean Wilkinson: Okay. So it's all caught up. There is no adjustment sort of bigger bumps coming in Q1 or Q2. Okay. And then my last question  MHCs is -- I mean, it's a great business, but is land still the constraining factor for you to be able to do a little more around owning those or perhaps developing them?
Mark Kenney: The problem here -- I'll give you my MHC speech in frustration now. MH has been used in the US 3 times in its history to solve affordable housing prices. 3 times. The double-digit percentage of US population within a manufactured home is land-based community, unbelievable, okay. In Canada, that compares to less than 1%. So what's the problem? It's not that we don't have any land. Canada is a vast quantities of land. Problem happened about 15 years ago with changes to municipal planning , moved residential to city services, okay. So until we break that thinking and municipalities wake up and realize there are a lot of homes in the country side that are on wells and septic systems everywhere when you drive down the four to one that's all you can see our people on wells in septic systems.  So what is the problem with building land lease communities. We have more fresh water in this country than anywhere on the planet earth. So the notion that water is the issue is frustrated, but I do think again I’m slowly getting progress because if there is a willingness to bring affordable housing to Canada’s manufactured housing is a very attractive alternative for people, owning a home for under $200,000 a year, where CMHC financing is available on that home, not the land and on the home gets people in the home ownership for less than the cost of average rent.  So when you talk about the number of  people that are developing manufactured home communities in Canada. It's one, that we're aware of Cartridge. We're moving down that track, we have a couple of little communities on the go right now, but this should be full blown focus for the country. Not, something that's not getting attention, we've got the answer right next to us in the US.
Dean Wilkinson: Yeah. Well, hopefully someone listens. And if you're interested in buying sort of one-cap it’s for sale? All right.  Thank you. That's it from me.
Mark Kenney: Yeah. You're welcome.
Operator: Thank you. We have  have no further questions, so I’ll hand over back to Mr. Kenny for any final remarks.
Mark Kenney: Thank you for that very spirited question-and-answer period. We're always available to answer questions. please feel free reach out to either Steven or myself. We thank you again for your time and attention today. As I said, don't hesitate to give us a call. We will host our virtual 2021 Annual Unitholders Meeting via webcast on June 1, at 4 o'clock, instructions on how to access the meeting can be found on our website. We hope you can join us and see you virtually. Thanks again, and goodbye.
Operator: This concludes today's call. Thank you so much for joining. You may now disconnect your lines.